Operator: Good morning. My name is Kristen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Yum! Brands 2009 fourth quarter earnings conference call. (Operator instructions) I would now like to turn the conference over to Mr. Tim Jerzyk, Senior Vice President, Investor Relations and Treasurer. Please go ahead sir.
Tim Jerzyk: Thank you, Kristen. Good morning, everyone. Thanks for joining us today on our call. The call is being recorded and will be available for playback. We are broadcasting the conference call via our website, also at www.yum.com. Please be advised that if you ask a question, it will be included in both our live conference and in any future use of the recording. I would also like to advise this conference call includes forward-looking statements that reflect management’s expectations based on currently available data. However, actual results are subject to future events and uncertainties. The information in this conference call related to projections or other forward-looking statements may be relied on subject to our Safe Harbor statement included in our earnings release last night, and may continue to be used while this call remains in the active portion of the company’s website at www.yum.com. In addition, we would like to make you please be aware of the next earnings date, which is Wednesday, April 14th, which will be our first quarter 2010 earnings and will be released after the market close, and our earnings conference call will follow the following morning at 9:15 AM. On our call today you will hear from David Novak, Chairman and CEO, and Rick Carucci, our CFO. Following remarks from both, we will take your questions. And now I’ll turn the call over to David Novak.
David Novak: Okay, thanks Tim and good morning everybody. Given the tough macro environment, I'm especially pleased to announce that 2009 was another strong year of performance as we continue our quest to make Yum! Brands the defining global company that feeds the world. We reported 13% EPS growth marking the eighth straight year that we exceeded our annual target of at least 10% and achieved at least 13%. As I look back on the year, I'm really proud of what we accomplished in 2009. In a very tough year, we opened over 1400 new restaurants outside the United States, while making major progress on our incremental sales layers in each of our businesses. We improved our worldwide restaurant margins by 1.7 percentage points and operating profit grew by 9% prior to foreign currency translation. Importantly, we maintained our return on invested capital of 20% and continued to be an industry leader. In China, we grew about profits by a whopping 25% in 2009 on top of 28% in 2008. That is over 50% growth in two years. The good news is that we achieved these impressive results even though our same-store sales were slightly negative as the consumers have lagged the recent economic trends. We added a record 509 new units and now have nearly 3500 restaurants. KFC added 428 new locations, and made progress adding home delivery and building breakfast. Pizza Hut casual dining added 55 new locations, and is generating positive same-store sales results by adding a wide variety of appetizers, beverages, entrees and desserts. We also made progress with our two newest brands, Pizza Hut home service and East Dawning. Overall, 2009 was another great year of growth for our China business. Next Yum! Restaurants International continues to produce solid results with 5% system sales and profit growth, excluding foreign currency translation. Driven by our franchisee development machine, we opened nearly 900 new units in over 75 countries. Our strong network of around 1000 franchisees opened over 90% of these new units. Importantly, we made major progress creating new growth vehicles by investing in France, India and Russia, and beginning to develop Taco Bell into a truly global brand. Yum! Restaurants International made significant progress on sales players as well. KFC aggressively expanded our Crushers line of frozen beverages to over 1500 units in over 25 countries, up from around hundred units in seven countries at the beginning of the year. Pizza Hut is following China's successful strategy of offering more casual dining variety. In the United States, Taco Bell delivered solid margin and profit growth, which was offset by weak performance in KFC and Pizza Hut. We continue to invest in and expand our sales layers even though the benefit of these efforts was not yet visible in our same-store sales performance. Taco Bell has fortified its value positioning and has a full arsenal of news ready for 2010. I'm very optimistic; we will have another good year at Taco Bell. Pizza Hut has recently addressed its biggest problem, value, with the successfully tested $10, Any Way You Want It everyday promotion launched earlier this year. KFC made an important long-term investment by adding Kentucky Grilled Chicken, providing a balance option and eliminating the DeVito [ph]. All in all, the US business generated significant margin improvement in a challenged sales environment that led to weaker than expected 2009 profit growth of 1%. And importantly, each US brand goes into 2010 better prepared to beat year ago. For those of you who missed our annual investor update meeting, we showcased our three largest sources of profit, China, Yum! Restaurants International and Taco Bell US. These three businesses together generate 85% of our worldwide profits, and will be the key drivers of our future growth. I would like to thank all of those -- all of you who attended for the positive feedback from that meeting, but I would like to address two of the biggest questions we have been asked since then. First is Yum!’s weak same-store sales performance in mainland China and early indicator that something is wrong with the business of that Yum! is growing too fast. We believe the answer to the question is definitely no. First, let us look at 2009 and put the facts into perspective. We added over 500 new restaurants, we held our transactions flat for the year, and we have near record restaurant level margins of 20%. Yes, same-store sales did decline 1%. Considering that, like I said earlier, we still grew our profits 25% on top of 28% growth in 2008. All in what most would call an off year for the Chinese consumer. Now as problems go, I will take it. For a little more perspective, let me step back to 2005, a year where we saw our same-store sales decline 3%. That year we opened 379 new restaurants and made $211 million. Now remember some people question our pace of development and the state of our business as a result of our negative same-store sales. Since 2005, we have added over 1800 restaurants and have tripled our profits to over $600 million. We now have 1.4 million average unit volumes at KFC with margins of over 20% and $1.2 million average unit volumes at Pizza Hut with margins of 19%. Our foundation for growth has never been stronger. Today, just like in 2005, China is and is predicted to be the fastest growing major economy in the world. In fact, it is expected to grow its middle-class from around 300 million today to 500 million to 2020. Like I said in the past, we will no doubt have some bumpy years. Unquestionably, we will have some ups and downs in China, but I wouldn't trade our position in China with any consumer company. That is enough history. Suffice to say we still believe China holds great potential, and we're clearly in the early innings of building our business in this massive and growing economy. Having said this, we constantly and I mean constantly monitor our returns and are committed to never building ahead of our people capability and unit economics. Our goal is to build a quality long-term business, and that is exactly what we're going to do. Next, while investors seem to understand our long-term growth strategy around our three largest businesses, China, Yum! Restaurants International and Taco Bell US; they are asking what are we doing to manage the short-term downside risk from our Pizza Hut and KFC US brands. This is more than a fair question because we made the conscious decision to not even cover Pizza Hut and KFC US at the December analyst meeting as they represent only 15% of our Yum! worldwide profit. Instead, we intentionally choose to highlight the 85% of our profits generated in China, Yum! Restaurants International and Taco Bell US. And particularly, we wanted to drive home the fact that Taco Bell is our big US growth engine, accounting for over 60% of our US profits and is a net grower of new units with lots of potential. That said, I want you to know that we are absolutely passionate about addressing the challenges of both Pizza Hut and KFC and turning around those businesses. At Pizza Hut, our long-term strategy is to transform the brand from pizza to pizza, pasta, and wings. However, our biggest short-term issue is the need to shore up and grow our pizza sales. Here, the consumer has told us frankly that we are simply too expensive. Basically they are saying, we love your pizza. We are America's favorite pizza, but I can’t afford you. Well, going into 2010, the vast majority of our system has responded by making carryout pricing more competitive, and we have rolled out or successfully tested $10 Any Way You Want It promotion. We are pleased to say we have already seen a dramatic improvement in sales and traffic. More importantly, our system has seen the power of being value competitive, and we will continue to focus on everyday value throughout the year. We also have more successfully tested value initiatives in our pipeline along with premium pizza innovation that will command premium pricing. Simultaneously, we successfully tested and will be rolling out new ways to drive incremental occasions with pasta and wings. Pizza Hut is also focused on improving the speed of service and executing its heart of the hut [ph] program designed to improve hospitality. With these strategies and programs under way, we are confident that Pizza Hut will have a much better year in 2010. Now KFC, there is no question we have our work cut out for us. However, we have an absolutely great leadership team addressing issues our customers have been asking us to do for a long time. First, our customers have been telling us that we need to offer more balanced choices and our answer here is Kentucky Grilled Chicken. This product receives rave reviews and represents around one quarter of our chicken on the bone business. And the fact is, we hate to think of where we would be without it. In 2010, we will have more new product news and will be able to serve consumers Kentucky Grilled Chicken and our world famous original recipe chicken. We longer have the fried DeVito, because we now are the only brand to offer real chicken on the bone choice. Second, our KFC customers have told us we need to give them more value. So in 2009, for the first time in our history, we launched a nationwide value menu. We also brought the value message to over Kentucky Grilled Chicken launch with our $3.99 two piece meals. Offering everyday value will continue to play a critical role in moving this brand forward in 2010. Third, our customers have asked us to improve our operations, particularly about product availability and speed of service. So we have actively pursued raising our game by aggressively pushing for higher standards by investing in more franchise field support, increasing operational audits, and raking and stacking and publishing performance in our system, a tool used by all great operating companies. So in 2010, KFC is better prepared to offer the consumer more choice, better value and better service. But like I said we have more to do. Our goal is to stay focused on building the business back the right way, and we are confident you will see steady progress. But I want to be clear, we have not yet turned the corner, and we expect KFC sales will be tough in the first half. Now from a financial standpoint, remember we are in the midst of a multi-year program to reduce our company ownership to around 5% from 21% ownership at Pizza Hut and 18% at KFC at the end of 2007. This will give us an even more significant and more predictable stream of franchise revenue. And simply by reducing the G&A from company operations, we expect to generate at least as much profit with no capital expenditure by putting these restaurants in the hands of our good franchise operators. When you look at all our efforts, we are confident our US business is heading towards more reliable and a more predictable earnings and cash flow. So in 2010, here is what we expect our divisions to deliver. China will grow profits by 15%, Yum! Restaurants International will grow profits by 10%, the US business will grow profits by 5%. These are all reasonable targets and not a stretch from our perspective. Now remember, international new unit development of about 1400 new units from China and Yum! Restaurants International drive six percentage points of our EPS growth. We expect the balance of our growth to come from our base business through overall global same-store sales growth of 2%, productivity initiatives and G&A leverage, along with an expected benefit from foreign currency translation. When you add it up, we intend to extend our track record to 9 consecutive years of meeting or exceeding our target of at least 10% EPS growth. Now let me turn it over to Rick Carucci, our Chief Financial Officer.
Rick Carucci: Thank you David and good morning everyone. In this section of our call, I'm going to comment on our key themes from our 2009 results, as well as our outlook for 2010. Yum! had another successful year in 2009. We grew earnings per share by 13% and for the first time achieved over $1 billion of net income. I would like to provide some context for our 2009 results around the following four themes, continued strong international new unit development, weaker than usual sales, strong productivity gains, and continued investment in growth initiatives. So, I will start with the first one, strong international development. We had a record year of development in China and another strong fear of YRI franchise led development. Our 2009 results again demonstrated that international new unit development is a significant and proven driver of Yum! profit growth. Second, weaker than usual sales. Our sales results were below our target as a globally weak consumer environment led to lower ticket averages. We had an especially weak second half of the year in 2009. There were some pockets of strength, our UK business, YRI developing markets such as India and Pizza Hut casual dining in China to name a few. Third, let us talk about productivity. Hats off to our teams in China and Taco Bell in the US, who drove substantial margin improvement in 2009. Both China and the US saw dramatic commodity inflation in 2008, followed by deflation in 2009. For the China division, the 1.8 point increase in restaurant margin during 2009 more than offset the margin decrease in 2008, despite net commodity inflation of $17 million over the past two years. In the US, total net commodity inflation over the past two years has been about $90 million. During this time, we improved our margins from 13.3% in 2007 to 13.9% in 2009. We also dramatically reduced over US G&A cost structure generating a $65 million benefit in 2009, which exceeded our $60 million target. Fourth, we continued investment and growth initiatives. During 2009, we continue to invest in future growth through emerging concerts, developing countries and incremental sales layers. One example was our investment in breakfast. We tested breakfast in KFC in the UK as well as in Taco Bell in the US. In China, we expanded the number of units to serve breakfast and increased our breakfast hours. In our New York meeting, we highlighted the dramatic growth of our KFC France and KFC India businesses. We ended the year with new unit growth of 33% in France and 60% in India. We are nearing the 100 unit mark in these two countries, the point of which we have been able to scale our businesses in other markets. We grew in other developing countries as well. Almost 60% of our YRI new units were in developing countries in 2009. When you combine these results with our continued expansion in China, we were able to expand our global lead in growing and developing economies. Next, I would like to give you an update on new franchising. We continue to manage our business with earn the right to own philosophy. When we don't see high growth or high returns we often refranchise units and hand them over to strong local operators. Refranchising brings greater stability to our earnings, reduces our capital and ultimately improves our returns. In 2009, we sold our KFC business in Taiwan to the Jardine Restaurant Group, one of our key franchise partners in Southeast Asia. In the US, we continue to make steady progress towards our goal of reducing US company ownership to 10%. In 2009, we sold 541 units, exceeding our goal of 500, despite the challenges of a tight credit market. We made substantial progress at Pizza Hut, where we sold 427 units and reduced company ownership to 11%. In 2010, we expect to refranchise approximately 500 units in the US, mainly Pizza Huts and KFCs. In summary, we are proud of our teams for delivering in this environment. We have a demonstrated robust business model that delivered 13% EPS growth, despite $45 million of foreign currency headwind. We raised our dividend by 11%. We improved our competitive position by investing in our future with new units, stronger brands and new sales layers. Now let us look ahead. In 2010, we do not expect a strong economic turnaround and have built our plans accordingly. We are confident that we will deliver our target of at least 10% EPS growth. Here is why. First, let us remember that international new unit development will remain a key driver of our growth. We expect to once again add 1400 new units outside the US in 2010 and as David mentioned, we expect international new units built in 2009 and 2010 to deliver about six points of EPS growth in 2010. Second, although it is especially difficult to predict sales right now, we do believe we are better prepared for a tough consumer environment than we were last year. First of all, we have another year of sales layer experience under our belt. For example, at YRI we now have the Crushers beverage line in over 1500 stores in 25 countries. In China, KFC now offers delivery in 95 cities, and has added protein variety with shrimp and beef as permanent menu items. At Taco Bell in the US, we fortified our value position and continual product news around our Why Pay More value platform. We also have a strong pipeline of new products such as soft corn shell Cantina Tacos. Across all our Yum! businesses we are focused on providing a stronger balance of innovation and value. Overall, we expect our first quarter sales to be below our normal growth rates, and expect stronger growth in the back half of 2010. And yes, part of the reason for that is we lapped weaker results from the last half of 2009. Finally, we expect to see a tailwind from foreign currency translations at least through the first half of 2010. For Yum! our strength is coming from our three largest businesses, China, YRI and Taco Bell in the US. We believe that these businesses represent a powerful growth combination. In China, we have higher return and rapid new unit development with excellent economics. At YRI, we have a mostly franchised business model with a strong track record for success that is poised to drive further growth around the globe. At Taco Bell in the US, we have a contemporary brand that is well positioned for sales layer growth. As David mentioned, we will continue down this steady path of refranchising at KFC and Pizza Hut. Once we complete our refranchising, we are confident that these brands combined will deliver at least as much profit as they did in 2009. Together, they will continue to deliver strong and steady cash flow for our shareholders. In summary, I am very proud of our financial results in 2009. I'm excited about our future as we fully expect to continue to generate consistent financial performance, global growth, strong free cash flow, and a substantial return to shareholders in 2010 and beyond. David?
David Novak: Okay, thanks Rick. I hope you can tell that we are very excited about putting 2009 to bed with 13% earnings per share growth, eighth straight year where we have exceeded our target of at least 10%, and we are really delighted to be on with 2010 and looking forward to the year. So, with that what I like to do now is open it up for questions.
Operator: (Operator instructions) Your first question is from the line of Mitch Speiser with Buckingham Research.
Mitch Speiser - Buckingham Research: Thanks very much. My question David, the Pizza Hut US business we know is just becoming a very small part of the overall profit stream, and you did give us some insight as to why you think it is weak. But I just like to ask you a different angle on it, do you think that the product proliferation has had any damaging impact, and just as I think about the rest of the world, where you are pushing a lot of different types of products, perhaps considered non-core products through the KFC stores and Pizza Hut, can you assess the risks perhaps of the product proliferation strategy outside the US. Thank you.
David Novak: Just for clarity Mitch, when you say product proliferation, do you mean adding like pasta and chicken?
Mitch Speiser - Buckingham Research: Yes, pasta and chicken in the US and then as we look outside the US, you know KFC does a lot more than chicken. And there is breakfast and beef, and at Pizza Hut in many markets just going way beyond kind of the core casual dining that we have seen in the US Pizza Hut business. Just the product proliferation in general, which seems to be having a damaging impact in the US, and if you can assess maybe if there is any risk of that big picture outside the US?
David Novak: Okay. First of all, I really think that the addition of the pasta and the wings has actually strengthened our US business. You know two years ago, we launched pasta, and we had very strong sales with the pasta launch. As we went into 2009, we all know we faced a much tougher economic environment, and what pasta really served for us in 2008 was almost like the launch of a major new pizza. And what we had difficulty doing in 2009 was overlapping the success of pasta, primarily because what the research tells us is that we just weren’t being value competitive. So our pizza sales declined and that typically happens in the Friday, Saturday, Sunday period of the week. And it was so clear, wide and clear the reason why it declined is not because we were focused on pasta, because we had a mix of both pasta and pizza advertising. It was because we were uncompetitive. Consumers told us very clearly that we’ve got the pizza they want to eat, but we were too premium priced and that we had to get more value competitive to win. So I think that as we go into 2010 the fact that we have learnt as a system, and I think our entire system has learnt this, franchise, company together, we have learnt it. If you try to provide great competitive value, we can win, and what we are focused on doing is making sure that we provide that great competitive value on a pizza basis. And what we want to do is win the weak indication with pizza. However, we also have an effect that is basically not being utilized during the week, and that is where we think we have the opportunity to drive incremental occasions with wings and pasta with Pizza Hut. So we think our strategy is right on the money. Last year we did testing on how to deliver better value. We also did testing on both pasta and wings on how to make it more incremental for us and use our assets throughout the week, and you will see that as we go into 2010. You know, what we are really trying to do at Pizza Hut is change the game. Our business has basically been relatively flat from a sales perspective over the last decade. You know, our unit economics has been strong, but we really haven't grown the business, and what we think we can do by being more value competitive on pizza, we can be more competitive, drive more pizza sales, and we can let them also leveraged that asset throughout the week with pasta and wings. So we really think we have made substantial progress at Pizza Hut, and what we have now, I think is a much better balance and understanding of how to drive pizza, which is more on the value front, and you also see pizza innovation from us, which is what we're famous for, and which we think we can get more premium pricing on. And then we can in addition to driving pizza we can leverage our new items the pasta and wings to get incremental occasion during the week. The big thing in food services is can you stretch your brand and can you have credibility to go into new segments. Without question, Pizza Hut can clearly go into pasta, and wings is a basic add-on in almost every pizza chain in the United States, because it just goes with pizza. So there are things that people see totally synched up to the pizza occasion. And we think that what we're trying to do with our businesses, we think our biggest asset is that we have got 35,000 assets that are underutilized, okay. And it is because we primarily just have been focusing on one thing and one day part. And our biggest opportunity is to take these brands and leverage our assets throughout the week and give consumers more meaningful variety. And there is no doubt in our mind that we are on the right track. You know, Pizza Hut in China for example added significant with 30% more menu items to really compete in casual dining, and we saw a significant turnaround not only in terms of our same-store sales, but also in terms of our margins improved as well. So, we got it -- if you are going to be casual dining, which by the way Pizza Hut is the number one casual dining chain in the world, and particularly outside the United States it is the number one casual dining chain, you are going to compete on casual dining, you have to provide variety. And our customers, they want to have pizza, they want to have pasta, they want to have chicken, they want to have salads. If you come in to sit down, they want to be able to have some coffee and beverages, and they want to have desserts, and we have got that asset sitting there, with back at the house it certainly has a room to provide them, and we want to be the number one casual dining chain. And you are not going to be that by just selling pizza. So Mitch, we could not be more convinced that we are hunting in the right territory, and we're moving in the right direction on Pizza Hut and one of our big advantages with KFC is that we can't stretch the brand. In the United States, we are primarily known as Kentucky Fried Chicken. Outside the United States, we're known as KFC. Just like McDonald's, McDonald's might have started out as McDonald's hamburgers, but outside the United States and inside the United States they are McDonald's today. And they have been able to stretch that brand into eight different product categories, leveraging their assets throughout the day. That is our strategy. We think we can stretch KFC. It is easier to do it outside the United States, because we don't stand so much for Kentucky Fried Chicken. In fact, our KFC business was built more with portable sandwiches, a much bigger business with much less focus on chicken on the bone. And there is nothing that is closer to the egg than KFC, okay. So if anybody ought to be able to do a breakfast, it ought to be KFC. And that is basically an opportunity that we think we can tap into, and by the way our most successful business in the world is KFC in China. And KFC in China has taken the approach that we can do chicken, we can do beef, we can do fish, we can do breakfast, we can do beverages. That is the same approach that McDonald's has taken. And I think the fact that we have been preemptive and proactive in doing that in China has been a big competitive advantage for us. It is why we got $1.4 million average unit volumes in China. It is why we are sitting here saying we are like McDonald's is in the United States in China. It is why we think we can have so many restaurants in China one day, because right here, because McDonald's has leveraged this asset, they have got 14,000 restaurants in the United States. That's only with 300 million people. So 2020, it is going to be 500 million in the middle-class in China. We're going to have an asset that is going to be leveraged. We are going to have higher sales. McDonald's has over $2 million average unit volumes in the United States. You know, we have got plenty of runway for same-store sales with KFC. We are only at 1.4 million. Breakfast is only 5% of our mix right now. I mean, so -- but the big thing that we are doing is we are leveraging the power of our brands, we are leveraging the power that we have these assets, and we're putting these building blocks in place. And yes, it is hard to see that right now in terms of the same-store sales growth that we are getting, but let us face it. This economy has not exactly been booming, but our strategy for the long term is so right on. It is unbelievable. So we are very excited about where we're at. I'm sorry I'm going on on this, but you know, this is why I'm talking to our people about every single day. I mean this is like we got opportunity, we got to go out. I would be worried if we have all these categories, and we have already done all these things, and we already have breakfast, and we already had late night. You know, we're not even open in some markets late. Okay. So we got a big opportunity, and we're all over it, and we are going to -- we can perform even in tough economies, like we just had last year and deliver, but the main thing is we are working on a long-term strategy here to leverage these assets, leverage our brands, use our assets throughout the day, get those sales up, improve our unit economics and just keep growing.
Rick Carucci: Thanks Mitch. Next question.
Mitch Speiser - Buckingham Research: Thank you very much.
Tim Jerzyk: Next question please.
Operator: Your next question is from the line of John Glass with Morgan Stanley.
John Glass - Morgan Stanley: Hi, thank you. I wanted to ask you about Rick, your comment on the weak first-quarter same store sales, do you expect negative same stores in all regions or is that a blended comment. Maybe you can provide a little color on what you were expecting by region and then can you talk a little bit about China specifically. McDonald's talked about their results being positive in December for the first time in many months. You know, their comparisons are different, their situation is different, but can you talk about if you have seen any encouraging signs in that market recently?
Rick Carucci: Thanks John. First, I would say that there are some challenges in reading the real trends right now because of whether, not just in the US but offshore as well. Also regarding China and YRI Asia, we're probably not going to get a great read on that John until March, once the Chinese New Year impact clears. Remember the Chinese New Year was in January in 2009, but it is in mid-February this year. Our general approach is that we don't provide comments in the middle of a quarter on sales trends, unless there is a very significant change in results. The recent focus on value at Pizza Hut in the US at $10 pizza offer has had a dramatic, positive impact to transaction and sales trends thus far in 2010. Overall in the US based on that Pizza Hut performance as well as our overall confidence on the Taco Bell initiatives, with respect to our first-quarter same-store sales to be below our normal levels, but significantly better than what you saw in the fourth quarter of 2009. That is pretty much what we're going to comment about trends at this point John.
Tim Jerzyk: John, this is Tim Jerzyk, one other thing that you should be aware of. Rick talked about the Chinese New Year. It will affect YRI in that the timing of it -- while it won't impact China's results, it is same quarter this year, quarter one as it was last year, but YRI because of our reporting differences, it will negatively impact quarter one, but benefit quarter two. That will affect your thoughts as well.
John Glass - Morgan Stanley: Did trends in December get better than the quarter overall in China.
David Novak: Again, we only comment when we see dramatic changes within a quarter. What we have said at the analyst meeting is generally still our position until we say otherwise, and that is that we saw the China consumer really slow down towards the end of 2008 at that point, and since then we haven’t really seen much of a change yet.
John Glass - Morgan Stanley: Thank you.
Tim Jerzyk: Thanks John. Next question please.
Operator: Your next question is from the line of Keith Seigner with Credit Suisse.
Keith Seigner - Credit Suisse: Thanks. I'm going to ask a little bit more specific question, the domestic franchise and license expenses has been climbing pretty meaningfully over the last two years and very significantly in this most recent quarter. And there is not a whole lot in that line-item, I mean so what I was wondering is if you could talk a little bit more about what might be the cause of the increase there. Is it franchise market funding, is it uncollectible royalties, is it increases in things like audits for the KFC system. If you could help us gain some understanding about what is going on in that line-item that will be great.
David Novak: Well, regarding the increase in this quarter that was driven by increases in our bad debt reserve for KFC, primarily in Long John Silver in the US. And the way we account for that Keith in our current policy, we think we're pretty prudent. We reserve the entire receivable if a franchisee is more than 60 days behind schedule. Now for KFC, 80% of our franchisees are on time, but we have seen the percentage of people under pressure go up during 2009. We are prepared for even a modest increase in that level in 2010, and also for -- potentially some more closures in 2010. Having said that, I'm quite confident that anything along those lines would not have anything any material impact on Yum!’s overall performance in the year.
Operator: Your next question is from the line of Steven Kron with Goldman Sachs.
Steven Kron - Goldman Sachs: Great. Thanks. Hi guys. Maybe one follow-up question in China, can you just maybe talk a little bit about some regional commentary like you typically provide, are the export driven regions as bad relative to the other part of the country, and maybe you can put quite a bit of color around that. And then secondly, within the US, looking at Taco Bell down 5% same-store sales in the quarter, seemingly underperforming the category as a whole, you know Taco Bell is known for its value, I was just wondering if you could maybe comment as to what you saw out of that brand throughout the quarter, and maybe talk a little bit about the early read on the Drive-Thru Diet at this point and how that has gone, and then lastly with cash building a little bit on the balance sheet, didn't repurchase any stock again this quarter, can you talk a little bit about use of cash going forward?
Tim Jerzyk: Yeah, let me answer. This is Tim Jerzyk. Let me answer the last question first. On the cash, there was a little bit of buildup at the end of the year. Some of that was just offshore cash in terms of timing and bringing it back, and we do anticipate fully anticipate utilizing the 300 million share repurchase authorization we got from the board during 2010.
David Novak: Okay, all right. Regarding China I will just give a little perspective. When you look at China for the year, we had basically flat transactions with all the economic challenges that we had. The same-store sales were up 3% in the low export markets, while high export markets were basically down about 5%. So what we're doing basically is we're focusing on developing in low export markets in the central and the western parts of the country. You know, I think that there is some increased competition in Chinese QSR and catering service particularly in the tier one cities. However, remember Yum! is in 650 cities, and we really in the vast majority of those systems cities, we are the only restaurant there or quick service restaurant there. So, we don't know exactly when the Chinese consumer will come all the way back, but when they do come back, we're better positioned for any kind of rebound than any other competitor due to our footprint in China. So that is basically all I can give you on that. As it relates to Taco Bell, you know we are very pumped up about what is going on in Taco Bell, you know, our value image has definitely been strengthened. In January, we had $0.89 value message out there in tandem with our fresco advertising. The consumer today recognizes that no one gives you more value. And that perception is stronger today than it has ever been, which bodes well in this climate. What we did with fresco is we took the offense on nutrition, because we think it is important for the long term to make sure that we communicate the fact that we have got balanced options out there for our customer. We did that through the launch of the Drive-Thru Diet, which was featured and talked about on the TODAY show just a couple of days ago, where we got a good mention on that. Our fresco transactions will be in our (inaudible), and we think that it will be a sizeable move for us over time. I think when you look at Taco Bell, the reason why we're confident is that we do have this value image. Right now we are continuing our $0.89 products, which give you a ton of food for $0.89. It is delicious, okay. And we have got the best pipeline coming up that we’ve had in a long time. And longer term, our breakfast program continues to be promising. We plan to expand it to more test markets this year. We are hopeful for a national launch of breakfast in 2011. And we’ve extremely good margins. Our margins are very healthy, which allows us to grow new units. At net new unit development last year, we think we have the potential to go from over 5200 units to Burger King levels of 7500 units over time, and as we you know, add breakfast, continue to develop new beverages, you know, we think that that's going to strengthen our unit economics over time as well to facilitate that. And our goal is to you know, we're already the second most profitable brand in the US and our goal to leverage our assets like McDonald's has done ultimately 24 hours a day. You know, I think in last year you know, we -- and the fourth quarter was no exception. You know, there is -- you had a very tight tough economy, you had everybody offering all kinds of value. We are very pleased that when you look at the consumer research today, we improved our value proposition in that environment and we know that our brand is charismatic. We know we've got tremendous upside and stretch. So we are very optimistic that we can have a good year, another very good year at Taco Bell.
Tim Jerzyk: Thanks Steven. Next question please.
Operator: Your next question is from the line of Jeffrey Bernstein with Barclays Capital.
Jeffrey Bernstein - Barclays Capital: Great. Thank you very much. Just two questions, one as it relates to the G&A savings opportunity. You mentioned you hit the $65 million in '09. Just wondering whether you have kind of a set target, whether it be US, China, or international, I should say YRI in terms of incremental savings that you think you can leverage in 2010. And then separately you mentioned kind of in the release of the Long John Silver name and A&W, I guess multi-branding is not really the strategy we are going to pursue going forward. Wondering whether there is a potential to sell those brands or whether we'll see those brands continue to operate here as it relates to generating incremental cash for the business. And just as an aside to that might some of the excess cash that we're talking about see further debt paid down in 2010 or is it priority share repurchase at this point. Thanks.
Tim Jerzyk: Yes, let me -- I'll answer that last part first Jeff on excess cash. We're very focused on -- this year we'll be focused on share buyback. We did some things last year to reduce. You will see our balance sheet long-term debt was reduced by about $300 million. We really have no debt payable that we can, you know, basically can access with surplus cash this year. Our next maturity is April of 2011, and we are focused on successfully getting past maturity and refinancing probably part of that. So we'll -- like I said earlier, we're going to, we expect to fully utilize the $300 million share purchase authorization that we have from the board, and that's how we'll be using the cash.
David Novak: Regarding Long John Silver A&W, you know, our multi-branding strategy is tactical, because what we are focused on is our sales layer strategy that I've talked about. Our goal with Long John Silver and A&W is to make those brands stronger and to build them working with our franchisees.
Rick Carucci: Regarding the question on the G&A Jeffrey, this is Rick. In 2009, we took the big bite on G&A and that was beyond just sort of this store level stuff and payroll perks, et cetera that would be associated with refranchising. In 2010, we expect some G&A savings, but more of the direct stuff that's related to refranchising. So area coaches, payroll people that type of approach. What we said is we believe that amount will be around $20 million and will offset any profit trade down from the rest of the refranchising program. So we think that net the refranchising will be roughly mutual to profits in 2010 because of a G&A reduction in the area of about $20 million.
Jeffrey Bernstein - Barclays Capital: Internationally?
Rick Carucci: Internationally, what we just sort of said for 2010, and we're still -- that plan is that, again we're still growing a lot of business around the world, but we hope to get is some G&A leverage. So the G&A grows at a lower rate than our revenues in 2010. So we're taking a little bit more prudent approach, but we are continuing to invest in growth markets like India and China.
Tim Jerzyk: Thanks. Next question please, Kristen.
Operator: Your next question is from the line of David Palmer with UBS.
David Palmer - UBS: Hi guys. My question is on investment. You obviously let returns dictate your investment from year to year, and you've obviously been refranchising and investing heavily in China, but I wonder if there is something that you can do to be even more aggressive in repositioning your investment. For instance, could you do something more dramatic about lightening up your company’s store investments in the US and YRI equity markets. Does that make sense to perhaps think more aggressively take one time charges perhaps even to truly remove the earnings risk from KFC US and equity exposure in the YRI division, where the margins are frustratingly not getting better quickly. And then conversely, maybe it makes sense to even step up investment in China through what could prove to be a trough period as, you know, the old Yum! did in the past with China. Thanks.
David Novak: Well David, we try to look at you know, each market locally. We look it obviously on a broad basis, but, you know, if you go at the last piece of it, we tell China go as fast as you can, as prudently as you can. So David that they never want to get ahead of our unit economics, our people capability, and then I think the team has done a really good job of that. You know, the way we could look at capital, and you probably know that but for some of the others is that, we don't have a fixed number in the year, right. So when we have a plan for China, if China can build more units, we don't turn them off. We could keep going. Similarly, if somebody else is not getting the returns that they need to get on new units, we will shut them off if they don't get the sort of spend their plan. So we try to be very disciplined on those decisions. Similarly, on the refranchising and in, you know, you saw an example of that where we you know, sold the Taiwan business this year. We'll always look at those opportunities and we'll continue to do that on a go forward basis. We've put a lot of attention about making sure we're investing in places that could get high growth and high returns and, you know, similarly you know, paring things back when we don't, and, you know, I think the US refranchising, I've been pretty pleased with the pace. I know that some people question, you know, can you get it done. I sort of -- I hope they keep questioning whether we could get it done and up until the day it's done, and I think we're doing that at a good pace. We're selecting the right franchisees and the right operators. That's very important to us, because obviously we got to be running these brands for a long time, and we need the right operators there. At the same time, we're getting the deals done. So I think we're getting that balance pretty well and we're going to continue down that path.
David Palmer - UBS: Thanks guys.
David Novak: Thank you.
Tim Jerzyk: Thanks David. Kristen, next question please.
Operator: The next question is from the line of Greg Badishkanian with Citigroup.
Greg Badishkanian - Citigroup: Great. Yes. Just with respect to China, just wondering how maybe price sensitive you've noticed the Chinese customer versus the US consumer and would you consider offering more promotions to drive traffic, and also on the competition front there, what are you seeing from global restaurant chains within China. Are they sort of becoming more promotional or you know, what types of changes have you been seeing lately?
David Novak: Well, I think you know, first of all we are already value competitive in China. We offer good value. Our consumer ratings say that we offer good value. So we don't see any acceleration of our value proposition in China. In terms of what are we seeing from global China competition, there isn't a lot of global China competition. The only real global competitor we have there is McDonald's of any significance. We are seeing some increase in just local chain development, Chinese in particular, in major cities like Shanghai and Beijing, but that's basically what we're seeing on the competitive front. What was the other question part of that? Was that, where those the two?
Greg Badishkanian - Citigroup: Yes, that pretty much hit it. That was great. Thanks.
David Novak: Thanks, okay.
Tim Jerzyk: Thanks. Next question please Kristen.
Operator: Your next question is from the line of Mark Kalinowski with Janney Capital.
Mark Kalinowski - Janney Capital: Hi, I'm hearing from some of my industry contacts that relations between Yum! and KFC's domestic franchisees are getting a little bit tensed. Maybe you could comment on that situation and what might be driving that. Thank you.
David Novak: Okay. I agree, well.
Rick Carucci: Hi, listen. You know, we have a phenomenal group of franchisees that are very committed to growing the business and we have great leader, Roger Eaton, who is working with the franchisees to get us through a really, really tough time right now and I think one of the things that we've been doing at KFC is we've been addressing three issues that the KFC system has really avoided too long. You know, attacking the fried DeVito by offering customers the choice of Kentucky Grilled Chicken, attacking our value problem, which is driven primarily by too high a local pricing, which our franchisees control, but we do have a national value menu for the first time in our history. We also had very good pricing on Kentucky Grilled Chicken last year with our two piece meal at $3.99. And then the third thing that we've been working on that's been you know, something that we've needed to put more focus on, and Roger Eaton and the team in addition to launching Kentucky Grilled, in addition to attacking value have been providing -- is to provide more reliable service. So we've increased our investment in operations by having more franchise coverage. We've increased our store level operational audits, Mark. We really started racking and stacking performance of our operators. And, you know, once we get good performance, we raise the standard. You know, so we're constantly you know, raising the bar on our performance. These are very tough issues. You know, not everybody, many of our more progressive franchisees have, but not everybody wanted to launch a grilled product, okay. Not everybody wanted to do a value menu, but we did one. Not everyone wanted to do $3.99 for the two piece meal, but we did it. These were tough things, and certainly not everybody enjoys seeing their operating performance racked and stacked and published, and not everybody enjoys that store audit, where you go in and you know that you can improve things. Now, our best franchisees, they are cheering us on, okay. They are saying go get them, you know, go get it, let's build the system together. They are cheering us on, but these are tough issues that Roger Eaton and the team are working with our best franchisees to address. They're not popular, okay, with some of our franchisees but I think the bulk of our franchisees know that it is important and it's necessary, but this -- running the KFC system is not for the fainthearted. The marketing control is owned by the franchisees. It takes tough-minded leadership to make meaningful progress and our leadership, which by the way is some of the best leaders we have anywhere in the world, and people I admire, as much as I admire anybody in our company, they know that winning in business is not about winning a popularity contest. What we are trying to do is win the hearts and minds of our customers, and I'm confident that we have the know-how, and more importantly the perseverance to get this done. We want to be so proud of KFC in the United States. We want to be so proud. We want KFC in the United States to be like it is in Australia, in the UK, and we've even had significant progress in Japan, which is a very, very immature and tough market. We want to have our chest, you know, pumping at KFC, and I think the things that we're working on Mark are, they are very tough issues to work through with any franchise system, but it's the way how you turn a business around for the good, and I couldn't be more proud of the KFC team and the franchisees that are supporting us in this effort.
Mark Kalinowski - Janney Capital: Thank you.
Tim Jerzyk: Thanks Mark. Next question please Kristen.
Operator: Your next question is from the line of Thomas Forte with Telsey Advisory Group.
Thomas Forte - Telsey Advisory Group: Great. Thank you very much. Two quick questions, one, can you tell us the state of the financing market for the other parties engaging in these refranchising transactions, their ability to get funding, and then second if you could give us some thoughts on 2010 margin, particularly what you're expecting in commodities for the US and China, and maybe on a first half and second half basis for 2010. Thank you.
David Novak: Well, on the financing for refranchising, I think it's noticeable that each of the last two years, we've exceeded our targets, and I think as someone mentioned earlier, right up until the last minute people have been questioning whether we are going to make it or not. So deals are being done. I think the important thing from what we've seen is that there is financing available for franchisees in our brands, in particular that have good track records. They have been in the business for a period of time, they have good relationships with their lenders, good relationships with their banks, and they have good balance sheets and that's where the deals are getting done. We're also bringing in new franchisees where they obviously -- to us they've gone through the process and we believe that they are going to be really great operators and they also have the financing capabilities. So, while it is a tough environment and it makes it more challenging, the team is you know very much on top of this, and as you can see each year, they are getting it done even in very tough environment. So there is still financing out there, but it is tougher.
Rick Carucci: Yes, regarding commodities, pretty hard to predict in this environment. What we sort of said in December is pretty much flat for the year. Where we have visibility to is probably the first half of the year, especially the first quarter. We do expect commodities to be down in the first quarter year-over-year, and then our assumption is they will go up a bit in the back half. Hard to predict how margins will play out because obviously you have the interplay between the sales and commodity side. So obviously we are very focused on that as we were in 2009 and will, you know, report those numbers as we see them.
Thomas Forte - Telsey Advisory Group: Thank you.
Tim Jerzyk: Thanks. Next question please Kristen.
Operator: The next question is from the line of Rachel Rothman with Wedbush.
Mike - Wedbush: Great, thanks. It is actually Mike [ph] signing in for Rachel. Can you just talk about the impact of axing out Thailand, and Taiwan on the (inaudible), specifically as what it does to the '09 margins, and how much up op income in revenue dollars come out of the China numbers. And then on YRI, which came out slightly lower than guidance that you gave in early December, yes given that there were roughly 3 weeks less at time and China and US are roughly in line. Could you talk about what happened there in mid to late December that led to the surprise, and I guess whether does continue in January. Thanks.
Tim Jerzyk: This is Tim Jerzyk. Let me answer that first part. On the China division, the alignment piece where you have KFC, Taiwan and Thailand moving to YRI during the first quarter. We'll provide you restated numbers as we go, and we can give you some ideas. It's not that significant in terms of the revenues and profit margins. I would -- suffice to say margins will be a little bit higher when you take those two businesses out, but we'll give you the restatements as the year goes on.
Rick Carucci: Yes, regarding YRI, I think what we saw in 2009 was we had very strong sales in the first part of the year, and then gradually weakening with the global economy. And so I don't look at it as a huge change in trends that occurred in the last month that this just been a general softening. Again hard to predict what's going to happen in 2010 when you know, the global economy is going to strengthen, but, you know, don't see any huge changes in trends at this point.
David Novak: Biggest thing -- the biggest change in trend over the year, actually if you look at it for YRI in particular was check average decline during the year, and Rick mentioned this earlier in his comments that it was -- a lot of it was pricing rolling off and that was certainly reflected in the YRI sales earlier in the year. There was still pricing. By the end of the year that was pretty much gone, and then also trade down by the consumer. So with a fair amount of check average impact to that, to YRI's growth as the year went on.
Tim Jerzyk: Thanks. Next question please Kristen.
Operator: Your next question is from the line of Sara Senatore with Sanford Bernstein.
Sara Senatore - Sanford Bernstein: Hi, thank you. I just had a question to go back to the US business, you mentioned that your margins obviously are up versus where they were a couple of years ago, despite the fact that we've had some you know, on average negative comps over the past two years, and then I know there was some commodity inflation, but in fact it does look like your food and paper as a percentage has come down. So I guess I'm trying to get at is for your company operating margins, can you bucket out what piece of this is maybe just operational improvements versus mix, you know, more Taco Bells if that's higher margin versus what kind of benefits you get from refranchising. So to the extent that you refranchise some of the lower margin restaurants, has that been helping too?
Tim Jerzyk: Yes, I can tell you -- Sara, this is Tim. The refranchising piece on margins for the year was 40 basis points, four tenths of a point. The rest of it was the impact of commodities, net of pricing and then productivity initiatives.
Rick Carucci: Yes, and that's the challenge. Obviously, the pricing and the commodities pieces occurred at different points in time. So what happened in 2008 is we had rapid commodity inflation in the US. So, I think the number was $119 million for the full year and it kept going up as the year progressed. So we were sort of chasing our call pricing in the US in 2008, and then we were getting rollover benefits in 2009. But we were pretty much done with most of our pricing actions by the fourth quarter of 2008. So we got very little benefit. We got benefits from pricing up until through the third quarter of 2009, then very little benefit in the fourth quarter. Regarding mix, we are getting some favorable mix on margins, first of all globally as China becomes a bigger part of the mix, and then in the US as Taco Bell is becoming a bigger part of the mix as Tim talked about.
Sara Senatore - Sanford Bernstein: Thanks.
Tim Jerzyk: Thanks Sara. Next question please Kristen.
Operator: Your next question is from the line of John Ivankoe with JP Morgan.
John Ivankoe - JP Morgan: Great. Hi, thanks. You've already touched on the YRI part of this question, but I was hoping that you know, with your ability to really look into the China market, you know, to really explain the deceleration that we saw in 2009, and obviously ending the year on a low note at down 3. You mean, the thought was you know, we would be lapping the economic slowdown in the fourth quarter of 2008, and especially you know, the meaningful slowdown that you saw until December. So if you could just make some you know, more specific comments in terms of maybe on a macro basis, you know, what you think drove you know, a slowdown you know, in sales throughout the year, and I know in the past you've talked about things like consumer confidence and savings rate and what have you, but what do you think the best economic indicators are for us to look at to try to really say, okay well, you know, this is improving then Yum!’s business should be improving as well.
Rick Carucci: I'll go first and Tim could add to it John. I think it's not just one measure. You know, when we look at it and we're not economists, but when we look at measures, we tend to look at a portfolio. So we're looking at consumer confidence. We look at the export markets and we look at sort of the GNP [ph] as some guidelines, and in terms of 2009 I will just repeat, even though, you know, same-store sales you know, bounced around a little bit, we just sort of felt the consumer was pretty level the whole time. It was bad and they never you know, you had months whether it looks bad or worse, et cetera, but I would just sort of categorize at least from our perspective, John, as the consumer was pretty much you know, down a bit all year in 2009. I don't think we are going to get a good read as we sort of said earlier until after the Chinese New Year, and that's because Chinese New Year overall is always a very event driven and is a little bit like Christmas in the US. You have some time where people will spend in holidays and then not spend a non-holiday period. So when we get into our second quarter, which is sort of starting in March in China that's when we’ll really bad on bad economic numbers. Again the economy in China started weakening really around the December time frame, but if you look at some of the measures around consumer confidence et cetera, they really, you know, bottomed out really in the first quarter of 2009. So it will be interesting for us to see what happens when we sort of lap with the bad economy, and we get the noise out of the Chinese New Year. So we'll be looking at, how do those measures progress, especially as we get past February.
Tim Jerzyk: I think the only thing I would add to this is that what do we have in China in 2009, $1.4 million average unit volumes, 20% margins at KFC, $1.2 million average unit volumes, 19% margins at Pizza Hut. You know, that's pretty good base to build from. You know, that says you have a really, really healthy business, and that you know, we're well positioned. I think the other thing I would say is, do we think we are capacity constrained at KFC and Pizza Hut, absolutely not. We have stores that do twice that volume, those average unit volumes. So, you know, we can have $2 million average unit volumes at KFC over time. We can have $2 million average unit volumes at Pizza Hut over time as we become even more dominant in casual dining. So to me, what do you have -- what do you have with KFC and Pizza Hut in China. I think we have two consumer brands everybody wishes they had with unbelievable sales, and unbelievable unit economics, and you know, I think we have a tremendous return that allows us to continue to grow with lots of confidence. And that's the real name in the game for us is to take advantage of the new unit and the development opportunity and grow KFC into well over 10,000 units and grow Pizza Hut as well. So you know, I think that's how we look at the business. We couldn't be happier with where we're at in China, and I think a lot of investors feel the same way.
David Novak: I know one measure that gets a lot of attention is the GDP, and what happens to that growth rate and when is your business level around that. Again, I would say there are some analogies between what has happened in China GDP and in the US. A lot of their GDP growth is based on their government stimulus, a lot of it was incentives for people to buy specific goods and people went and did that, and I sort of say similar to the US, but they didn't buy as much stuff that wasn't being offered an incentive. So, you know, if you look at the listed economic growth in the fourth quarter in the US, the number greater than 5%. It didn't feel like a 5% from a consumer standpoint, and I think you have the same thing right now happening in China. So we're going to look at broader measures and obviously we were a pretty good bellwether, because we are everywhere in China. So I think we may see it before you see it in all the measures combined anyway.
Tim Jerzyk: Hey, John. One other thing. I think you know, David talked about our business on the economic side, the other thing is when you look at the Chinese economy, fundamentally it's one of the strongest in the world. So it is just a matter of when it's going to come back. We feel pretty confident that it will. The amazing thing is as Rick said is that we follow the consumer confidence index. That's one we think is a pretty decent indicator. The amazing part about that is in the fourth quarter of this year was still down versus last year. If you look at fourth-quarter ‘09 versus fourth-quarter ‘08, year-over-year consumer confidence was down. It's starting to show year-over-year improvement, it looks like it. So that's a good sign. You know, the export growth, or exports turned from pretty negative most of the year to positive solely in December, and there's lot of people saying that that's going to continue, which will definitely be good. And then also, we actually did see some improvement as the -- David gave you earlier the break in some of the segments of the market. That divergence between central and west and export markets actually narrowed as the year progressed. So there is plenty of signs pointing in the right direction. So it's going to be a matter of time. And also you know, the Chinese consumer has always been a big saver. We all know that. They probably are a little bit more cautious, but like I said all the signs are pointing in the right direction.
John Ivankoe - JP Morgan: Great. Got it. Good color. Thanks guys.
Tim Jerzyk: Thanks. Next question please Kristen.
Operator: Your next question is from the line of Joe Buckley with Bank of America.
Joe Buckley - Bank of America: Thank you. Just couple of questions, you talked a little bit about pricing in the US and pricing in YRI, and it sounds like you are, you have no price now in, you know, most of -- most instance. Could you address China also where you're in pricing year-over-year, and then secondly on the KFC US, you said you know, 80% of your franchisees are paying on time, is 20% being late an unusually large number. How does that relate historically? And then lastly the CapEx number for the year came in much lower than we were thinking, about $100 million lower. Does that get pushed into 2010 or you know, what sort of the story with the CapEx?
Rick Carucci: Yes, Joe. Let me answer that. On China pricing it is zero, current run rate on pricing and then on the CapEx piece there is going to be no carryover impact to our forecast we provided you for 2010. It was just underspending across a lot of different categories. So it wasn't anything actually in particular, but it was all spread across the actively growing parts of our business, which was YRI in China. So which is the little bit here and there but it will not be something, it wasn't necessarily timing that will be additive to 2010.
David Novak: Yes, and regarding the percentage that are late that number is usually, you know, below 10%. So 20% is higher than usual.
Joe Buckley - Bank of America: Thank you.
Tim Jerzyk: Thanks Joe. Next question please Kristen.
Operator: Your next question is from the line of Steve West with Stifel Nicolaus.
Steve West - Stifel Nicolaus: Hi. Real quick on the -- when we talk about getting Taco Bell back on track in Drive-Thru Diet, and then what we've seen with the KFC Grilled Chicken, maybe not performing as well as expected early, maybe it is just stabilizing. How would you see kind of the difference between the two and maybe what we should expect as we go forward on getting Taco Bell back on track and even getting KFC back on track here?
David Novak: Well, I think you know, Taco Bell like I told you we're very pumped up about what's going on there, and we feel good about the pipeline and, you know, I think that we are going to -- we'll see I think a solid year, okay. I think at KFC, our first half is going to be tough, you know, because we'll be overlapping Kentucky Grilled Chicken, which was easily the most successful new product that was launched in the category last year. So -- but we expect to see steady progress at KFC and, you know, we expect each of our businesses to make more money next year -- this year than they made last year.
Tim Jerzyk: Thanks. Next question please Kristen.
Operator: Your next question is from the line of Jason West with Deutsche Bank.
Jason West - Deutsche Bank: You know, thanks guys. I'll try to keep it quick. Just wondering if you could talk about the percent of cash flow that you generate out the US Pizza Hut and KFC businesses. You mentioned the profits, I just wanted to see if the cash flow mix is similar as well, and also are you having any collection issues at Pizza Hut, you know, given that weak sales we've seen there? And then third, just in terms of the refranchising, particularly KFC, which has been a little slow, do you expect to sell those restaurants to existing franchisees or are you looking for third parties to come and get involved with that system, thanks.
David Novak: On the by brand cash flow, it's pretty comparable to profit. The only thing that would be different is there is -- obviously there is higher capital expenditures at Taco Bell. So if you're looking at more of a free cash flow measure, do you have that impact, because we're growing those units and there is some company investment, but otherwise you would pretty well track what the profit is.
Rick Carucci: Yes, on the -- your question on the Pizza Hut system is franchisees are in good shape there. They had the commodity benefits in 2009, so they were, you know, making good profits even though they had soft sales. We also have larger franchisees in the Pizza Hut system that are generally well capitalized. So a couple of 1Z, 2Z types of issues but for the most part very solid on the Pizza Hut side, and in general the large franchisees we haven't seen problems.
Tim Jerzyk: Thanks. Next question please Kristen.
Operator: Your next question is from the line of David Tarantino with Robert W. Baird.
David Tarantino - Robert W. Baird: Hi, good morning. Question for Rick on the tie between the earnings growth outlook for 2010 and the comps plan that you provided. I think at the analyst day you seemed to suggest that you might be able to hit the 10% EPS growth without a 2% comp. You know, so the question is, you know, is that still the case. Do you think you have some room on the cost side if comps fall short, and then secondly what level of comp decline would you start to get nervous about your ability to get to that 10% earnings growth?
Rick Carucci: Yes, there is obviously no firm answer I could give on that. I think there is probably no difference from where we were in December from my perspective, and again I think that the assumption that I've been working under is that, if you have a weaker economy than people's expectation is you probably have a bit of a natural hedge on your commodity costs. Then obviously things go the other way then you know, we'll have the upside on the sales piece of it. So I think modest increases, decreases I don't expect to change. Anything significant of course you'd have to worry about. I don't have sort of a firm number in my head. I do think that, as we sort of said given the fourth quarter, you know, we're not going through the year with momentum. So clearly, we are really cheering for you know, the economy to pick up and our sales to pick up. And I think we're not starting with momentum, but I feel like David I feel good about our plans for the year.
David Tarantino - Robert W. Baird: Very helpful, and if I could squeeze one more in, you mentioned same-store sales expectation is that the growth would be back weighted. How are you thinking about the profitability or the operating income growth, is that also going to be back weighted or the cost being favorable in the first half, would you expect to be more balanced?
Rick Carucci: I would say probably what you just said would be my best guess, back end weighted, but not as much as the sales, because we expect the commodities to be favorable in the first quarter.
David Tarantino - Robert W. Baird: Great, it is helpful. Thank you.
Tim Jerzyk: Thanks. Kristen, next question please.
Operator: Your next question is from the line of Jeff Omohundro with Wells Fargo Securities.
Jeff Omohundro - Wells Fargo Securities: Thanks. I'm just wondering if you could give us an update on the signature beverage, new beverage initiatives associated with KFC Crushers, and what your outlook is this year and how important role they might play as you build sales layers, thanks.
David Novak: Well, we are in the midst of, you know, expanding the Crusher line across KFC international. So, you know, we are adding to the line different products. This is a product or basically a sub brand that we will continue to add news to as we go over time. And so we're very enthusiastic about it.
Jeff Omohundro - Wells Fargo Securities: Thanks.
Tim Jerzyk: Thanks Jeff. Next question please Kristen.
Operator: Your final question is from the line of Jeff Farmer with Jefferies & Company.
Jeff Farmer - Jefferies & Company: Great. Thank you and good morning. I'm just hoping to get a better understanding of your tax rate. I think you guided to roughly 26% at the Analyst Day for 2010, but just looking at the model, looks like it hasn't been that high since '04. So what factors would actually lead to a higher tax rate for you guys in 2010?
David Novak: Well, again we gave sort of -- a rate of 26% is really what we expect to average over the next three years. They could fluctuate from year-over-year and from quarter-to-quarter as it has in the past. We benefited a lot from planning, reconciling audits with the IRS, et cetera, and we still expect to see benefits from those and it's just not quite as large over the next three years as we had over the last two.
Tim Jerzyk: Okay. Let me wrap this up. First of all, thanks all of you on the call. You know, as we continue to execute against our global opportunities, our business model will increasingly be driven by China, Yum! Restaurants International and Taco Bell in the US. The restructuring of Pizza Hut and KFC in the US continues and this will ultimately improve our returns as well as the stability and predictability of our cash flow in the US business. We are very focused very, very focused on addressing the strategic challenges of both those brands that we expect will ultimately provide upside from a problem perspective, from our position that we have today. Overall, we believe that the execution of our strategies will lead us to a business model that will enable us to continue our track record of consistent performance and achieving at least 10% EPS growth each year. For 2010, we believe that all of our businesses are better off and better prepared to drive sales as the global consumer comes out of what you might characterize as a hunker down mode. Importantly, keep in mind that more than half of our EPS growth will be driven by new units built last year and units to be open in the next several months. In china, our business is well positioned for continued growth with its substantial infrastructure advantages, the strong brand positions I've talked about, the new unit investment returns that are as good as ever. So we are in the right place at the right time with the right brands. Yum! Restaurants International continues to drive solid growth each year and build its future run rate for growth based on the strength of its broad geography, being in over 110 countries. We've got an extensive franchise growth machine and a leading position in emerging markets around the world, and in particular we are very excited about what's going on in India and France as we highlighted at the annual conference. Finally, in the United States we are making progress towards positioning Taco Bell as a significant growth engine driven by both an increase in our average unit volumes, as well as the new unit growth that we expect to drive over time. With all this in mind, we continue to expect EPS growth of at least 10% for 2010, which would mark the ninth consecutive year we would meet our annual target of 10% growth, and we are confident we will continue to build the value of our company not only in 2010, but well beyond. It's a great business, and we love running it and building it and thanks for being on the call. I look forward now to talking to our employees around the world. We always have a talk to David call right after this, and I can't wait to tell them about what's going on and convey the excitement that we have for 2010. Thank you very much.
Operator: This concludes today's conference. You may now disconnect.